Operator: Good day and welcome to The New Relic Third Quarter Fiscal Year 2022 earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. Please note that this event is being recorded. I would now like to turn the conference over to Peter Goldmacher, Vice President of Investor Relations. Please go ahead.
Peter Goldmacher: Hi, everyone, and thanks for joining our 3Q fiscal '22 earnings call. We published a letter on our Investor Relations website about an hour ago, and we hope everyone's had a chance to read our letter together with today's earnings press release. Today's call will begin with prepared comments from Bill and Mark. And then we'll open up the line for your questions. During this call, we will make forward looking statements including about our business outlook and strategy, which we based on our predictions and expectations as of today. Our actual results could differ materially due to a number of risks and uncertainties, including the risk factors and our most recent 10K and upcoming 10Q to be filed with the SEC. Also, during this call, we will discuss certain non-GAAP financial measures. We have reconciled those to the most directly comparable GAAP financial measures in our earnings release. These non-GAAP measures are not intended to be a substitute for our GAAP results. And finally, this call in its entirety is being webcast from our Investor Relations website. And an audio replay will be available there in a few hours. With that, I'd like to turn it over to Bill.
Bill Staples: Thank you, Peter, and good afternoon, everyone. Thanks for taking the time to join us on our third quarter earnings call. I want to share with you three things before I hand it over to Mark for an update on the financials. First, a summary of the quarter and year-to-date. Second, an update on our five priorities. And third, my outlook on the road ahead and the key themes going into our FY '23 plan. First, I'm pleased to share that we beat the revenue expectations we set last quarter. Our revenue growth is a reflection of our improving ability to nurture increase commitments and consumption and both improved in the quarter. We increased the amount of committed revenue in the consumption model in Q3, exceeding our 80% target for the year a quarter earlier than planned. We now have the vast majority of the business in the consumption model. We also improved the level of commitment for customers who renewed in the quarter in particularly those who are consuming above their previous commitment, significantly increasing their commitments. We saw continued improvement in overall consumption as our product and customer adoption practices grow. Consumption continues to steadily increase with customers, adding both more users and more data. Data ingest in particular continues to perform better than expected and although it puts short-term pressure on gross margins, we view this as a very strong indicator of future growth in users. And last, our marketing efforts to drive account and revenue growth are working. Total paying accounts grew by 300 and accounts that started as pay go consuming at a 25k plus annual run rate grew from 109 customers in 2Q to 172 customers in Q3, and 15 of those accounts are 100k plus annual run rate up from just six accounts at the end of the second quarter. It is impressive to reflect on how the fiscal year started versus where we are today. We ended the year after eight successive quarters of revenue growth deceleration and guidance to 709 to 711 million revenue and 6% year-over-year growth. If we execute the Q4 plan according to updated guidance, we will have added about 75 million in revenue above our original guide and taking the company from the 6% guide over 17% year-over-year revenue growth. Not only that, we converted the steady decline of paying customers and we're on the growth path. These results are a reflection not only of our strategy planned out as expected, and even faster progress and execution than we had hoped, a testament to the hard work of 1000s of developers. Next I'll provide a brief update on our five priorities. Our top priority is to return our revenue growth to market growth rates. And I'm pleased to share that for the third quarter in a row, we've reaccelerated revenue growth over last quarter and last year. Revenue was 204 million this quarter compared to 166 million in the third quarter of last fiscal year, representing growth of 22% year-over-year, up from 18% last quarter, and 9% in the third quarter of last fiscal year. It's exciting to see continued and accelerating revenue growth. This is the highest year-over-year growth rate New Relic has posted in two years in validation that we've moved past the turnaround and are making progress toward the approximate 25% market growth rate we shared as a priority at the beginning of the fiscal year. Our second priority for this fiscal year was to migrate more than 80% of our business by the end of the fiscal year. As I highlighted in my opening remarks, I'm pleased to share that as of Q3, we've already exceeded this goal one quarter ahead of schedule. We are now at 81% of the business in the consumption model. Our third priority is to grow the number of paying customers and as mentioned, we increased the number of active customer accounts to 14,600. The primary way we are driving this growth is through 100% self-service product lead growth funnel, starting with our New Relic one free tier. Since introducing the offer one year ago, 1000s of developers have signed up for New Relic one and over 6400 have already entered credit cards, an increase of more than 1500, since we reported last quarter. These customers provide an excellent qualified customer funnel for our direct sales team and partners to nurture to higher levels of growth. Our fourth priority is to methodically deliver platform innovation and greater value to our customers. This quarter was another hallmark of innovation from our product organization. We introduced New Relic IO Code Stream, a brand new infrastructure monitoring product and MLOps four marquee releases in a single quarter, along with 1000s of other smaller improvements. We've spoken a bit about Code Stream and the IO release last earnings call. So let me share a little bit more about the other releases. Coinciding with the Code Stream launch and to assist in monetizing this new cohort of users along with other capabilities in the platform. We also announced a new core user type, a lower priced offer, specifically crafted for code focused developers who have not yet embraced observability or are only occasionally pulled into code related incidents and don't already have a paid user license. This new user type is now available for purchase as of January. The core user serves as an on ramp to observability and will lead to new full platform users over time. We debuted a brand new infrastructure monitoring solution at AWS reinvent and plan to [GA it] [ph] this quarter with a world-class experience for monitoring public, private and hybrid cloud infrastructure at scale. In early preview, customers are saying they love to modernize experience, including the ability to select and compare individual entities across multiple golden metrics, view entities and their relationships in the topology and graph view, and even go back in time to watch performance and cascading impacts of incidents over time. No one does it like New Relic One. We also were first to market with an MLOps monitoring solution that brings the power of telemetry platform to data scientists and engineers, as they collaborate with to build -- with each other to build modern services, including partnerships with key partners in this space including AWS SageMaker, Datarobot, Aporia, Superwise, Comet, DAGsHub, Mona and TruEra. In our first few months, more than 40 customers have already adopted the solution and we're seeing both new users and new events flowing into the platform. This solution is new and an early adoption. And we're proud to be first in the market with this capability in our category. Our fifth and final priority is to improve our internal execution efficiency and cost structure. Fundamental to everything we do is having a team of strong motivated talent and we continue to make recruiting, retaining and developing our talented employees, a top focus this past quarter. We were able to continue lowering attrition rates both sequentially and year-over-year and we also enjoyed another strong hiring quarter. Our internal engagement survey shows improvement in employee morale, and we remain focused on fostering a strong internal culture. On the financial efficiency front, we're balancing cost discipline with investments that will drive long-term profitable growth and value creation. This quarter, we continue to prioritize data growth and customer satisfaction initiatives, which resulted in lower gross margins, but we believe enhances our long-term prospects. Similar to last quarter, our data ingest was higher than expected which we view as a significant long-term positive. I do believe gross margins should bottom out from here. Let me now close with a few thoughts on New Relic and the road ahead. It has been an honor to serve as CEO for two full quarters now and see the strategy we worked so hard to put in place six quarters ago, continue to pay off for our customers and the business. As I reflect on the journey, I'm filled with immense gratitude and respect for how bold our employees have been pursuing our strategy, and how fast we've been able to make progress. New Relic employees truly live our values, and then straight every day, how as a company, we can do amazing things with a customer-centric strategy and relentless focus. As I look to our future, this year and beyond, we plan to continue to build on these successes and the past few quarters to continue our momentum. We're now a month into Q4. And we're working hard to land the biggest quarter book of Business of the Year, and simultaneously locking our FY '23 plan and targets. There are three primary themes I'm focusing the team on as part of that plan, which I thought would be of interest to you. First, driving operational excellence. The strategy is sound, our business model is settling in, and our overall rhythms are established. But we must continue to sharpen our focus on execution, eliminating every inefficiency and friction point we uncover and building a highly disciplined and systematic engine to drive higher consumption growth. Our bar is nothing short of operational excellence. Second, increasing our focus across sales and marketing and research and development on improving consumption rates. We're reaching the final stages of the migration of our business to the new model. And the challenges and variability associated with that conversion process are going away leaving us with a more normalized growth rate, that we can apply all of our R&D and sales and marketing capacity to increase and automatically capture revenue. FY '22 required much of our go-to-market organization to help customers understand and embrace the consumption model. But now that that heavy lift is done, more capacity will be available to nurture value recognition through consumption. Our research and development team was heavily focused on launching new innovation across a large number of new initiatives this year, seeding the ground for future growth. While we will continue to innovate and introduce new products to market in FY '23, a greater portion of the team will be focusing on unlocking adoption and consumption growth against the many opportunities we already have underway. Third, we're focusing on continuing revenue acceleration and improving margins. I look forward to sharing with you in our next earnings call, not only how we did against our guidance, but a new fiscal year plan. We're building a plan that should support our top objective of continued acceleration of full year revenue growth in FY '23, as well as achieving modest profitability. I'll also take the opportunity to lay out the next set of key priorities and metrics that we will strive for in the next fiscal year ahead as we continue to raise the bar at New Relic. We're still in the early days of observability. And we're playing the long game. You can expect us to continue to strive to exceed our guidance each quarter as we pursue our mission with the same passion and boldness you saw in 2021. Thanks for being part of the journey. All right, over to you, Mark.
Mark Sachleben: Thanks, Bill, and good afternoon and good evening to everyone on the call. I'd like to briefly recap our financial results, and then spend some time discussing the business. For our third quarter of fiscal year '22 reported revenue of $204 million ahead of the guidance we set in 2Q between $198 million and $202 million. GAAP loss from operations was 52 million and non-GAAP loss from operations was 11 million, in line with the guidance we provided for loss of between 10 million and 12 million. GAAP EPS was a loss of $0.96, and non-GAAP EPS was a loss of $0.18 at the low end of our guidance for a loss of between $0.15 and $0.18. We are pleased with our results this quarter once again beating our top-line guidance, and we're excited to see another quarter of acceleration in year-over-year revenue growth. Our number one priority continues to be to get back to 25% growth rates in the intermediate term. And Q3 was a continuation of a trend that we expect to get us there. We'll provide more specific guidance for fiscal '23 on our 4Q call in May. But as you model the business from here, is reasonable to expect full year fiscal '23 to show accelerating revenue growth for full year fiscal '22 and modest non-GAAP profitability on a full year basis. Our top-line result was driven by both strong renewals and by customers consuming in excess of their commitments. As the residual effects of the business transition continue to diminish. metrics such as deferred revenue will likely start to behave in a more normalized pattern. Meaning we expect to see generally stronger growth in Q3 and Q4 are bigger renewal quarters, and more moderate changes in Q1 and Q2. Also, as we start to anniversary renewals on the new model, we're starting to see customers that consumed in excess of their commitments renew at higher levels. We'll get another meaningful data point on this trend in Q4. But one of the implication of this potential trend is a more balanced growth between revenue coming from commitments and revenue coming from over consumption. We view this as the model settle in. And while it may cause a few million dollars in revenue variability each quarter with longer term trend is encouraging. GAAP gross margin was 66% and non-GAAP gross margin was 68%. This is down slightly from Q2 due to larger than expected growth in data ingest, a great indicator that customers are deriving value from the platform. Additionally, we made specific investments in a number of customer satisfaction initiatives and acceleration of our move to the public cloud. We believe that these trends and investments will contribute to drive improved profitable growth over the long-term. We believe that non-GAAP gross margins have bottomed this quarter and we expect them to be in the low 70s in Q4. We are confident in our ability to improve gross margins as we complete our worldwide move to the cloud over the next couple years. So investors should expect high 70% non-GAAP gross margins in the intermediate term, with a long-term goal in the high 70% low 80% range. In terms of our operating margin, we are focused on improving efficiency across the organization. But over the near term, we can continue to prioritize top-line growth over bottom-line results. This may impact near term costs and expenses but we believe this approach will result in more attractive long-term profitable growth and value creation. I'm very proud of our team's ability to reaccelerate top-line growth, while keeping a watchful eye on operating expenses. We have made significant strides and expense discipline in our total operating expenses generally, and sales and marketing expenses specifically. Revenue in the quarter grew 8 million sequentially, while OpEx is flat quarter-over-quarter, pro forma was approximately 8 million of non-cash commission expense related to our prior business model, which we detailed in the investor letter. I also want to point out that sales and marketing expenses in the quarter declined by over 2 million if you back out this prior model commission expense. As we turn our expense discipline to cost of goods going forward, investors can expect steady improvements and profitability going forward. Now that we're reaching the final stages of migrating our business to the new model, some of the variability of our transition, including initial headwinds and subsequent tailwinds of that conversion process are going away. There still be some modest fluctuations that are near term as the anniversary our '22 comps. But we are heading toward a more normalized growth rate. Now that our sales team is mostly through the heavy lift of the migration process, and product has initiated many new innovations for customers to adopt in fiscal '23. We continue to feel good about our ability to grow the business. Now I'd like to share our 4Q and fiscal '22 guidance. For the fourth quarter of fiscal year 2022, we expect revenue between 204 million and 206 million representing year-over-year growth between 18% to 19%, respectively. We expect a non-GAAP loss from operations of between 12 million and 14 million. We expect a non GAAP net loss attributable to New Relic per diluted share between $0.19 and $0.22. For the full fiscal year 2022, we expect revenue between 784 million and 786 million representing year-over-year growth of between 17% and 18%. We expect a non-GAAP loss from operations between 45 million and 47 million and we expect a non-GAAP net loss attributable to New Relic per diluted share between $0.72 and $0.75. Before I turn it over to the operator for your questions, I'd like to let everyone on the call know that we intend to have an investor Day on May 18 in conjunction with our future stack user conference in Las Vegas. Operator, please go ahead and open it up. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from Kingsley Crane with Berenberg.
Kingsley Crane: Appreciated your comments so far on fiscal '23. With April fast approaching, can you speak a little bit more about what you expect that year and how you plan to achieve it?
Bill Staples: Yes, thanks, Kingsley. I'll go ahead and take that. This is Bill Of course. And I'm really excited as I look forward to the new fiscal year ahead. As I mentioned in my opening remarks, there's a lot to look forward to. I've given the team essentially three sort of themes to focus on as we create our plan. I touched on them a little bit earlier, let me give you a little bit more of a double click. The first real theme that you can expect from us is operational excellence. In a consumption business model, efficiency really, really matters. You see the aggregation of marginal gains across hundreds, or even 1000s of initiatives that span the whole company from our cost efficiency to our products, that growth initiatives to our nurturing that happens in sales and marketing. 0And I use the word methodical systematic discipline over and over, you probably have heard that from me a few times in past earnings calls. I use those words internally as well because our ability to execute is super important. And it goes, it factors heavily into where we're investing in FY '23, in order to get that continued revenue growth. The second real theme, and it's an important thing to understand about how we're shifting resources in the go forward year is we're shifting from a business in transition, where most of our go-to-market organization last year was focused on helping customers understand the new business model, migrate to it and embrace the full platform. And most of our product teams were focused on launching new initiatives, new innovation, seeding the market with new capabilities towards the model in FY '23, where we are all focused on nurturing consumption, helping customers realize the full value of the platform. And that shift in resources and focus, I believe will help us to continue to accelerate growth, which is the third theme that I've given the team as we create the new plan. I believe Mark mentioned this as well. Our expectation in FY '23 is that, we'll be able to continue revenue growth acceleration. We're guiding to about 17.5% if we meet our Q4 guide, and we feel confident enough to believe that we can improve on that and achieve modest profitability in the year ahead. We have our sights really set on returning to that 25% year-over-year growth rate in the quarters ahead and we'll continue to pursue it until we achieve it, which we said is in the intermediate term or within the next two years. I don't have a crystal ball for exactly when that will happen. But it will still be our number one priority and we're striving toward it and all signs are showing that we're making solid progress including our Q3 results we reported today.
Kingsley Crane: Okay, thanks Bill. That's really helpful. So just as a quick follow up. So how should investors square your enthusiasm for next year with a flat sequential guide for Q4? Thanks.
Bill Staples: Good question. And if you look carefully in our guide for q4, you'll note that the sequential revenue growth rate is not about what we just reported in Q3 many wonder what to make of that. It is always nice to see quarter-to-quarter sequential revenue growth rate increases, as we've enjoyed this fiscal year. But I believe the best measure of the strength of the business is really to look at that year-over-year growth for the same quarter and for the full year. And the reason for this is every quarter presents us with a unique set of customers who come up for annual renewal, as well as other seasonal patterns that tend to the annual nature, including some of the seasonality that we saw over the holidays in Q3 with some hangover effects as we entered the new calendar year. But really, the most important question is, are we getting better each year at delivering value to these customers? And incentivizing them to grow their consumption and renew their commitments at a higher level? And are we getting better at managing the overall business? If you look at what we're guiding for in Q4, versus last year, you see a pretty incredible improvement. Last year, we delivered 8% year-over-year growth at 173 million. And regarding this year to 240 to 206, a growth rate of 18% to 19%. That's a substantial growth rate increase over last year and reflects the strength of our relative position with customers and as a business. And for an even better view of how the business is performing. Consider how we entered the year versus how we're forecasting will exit it. We ended the year with a guide of 709 to 711 and 6% year-over-year growth. And over the course of the year, we've seen steady improvement to the health of the business and if we exit as we've guided, we'll have added more than 75 million above the original guide and delivered on full year-over-year revenue growth of 17%. And beyond that, as I said like we feel confident enough with that momentum to believe going into FY '23. And we'll share more about this in the next earnings call that we can improve on the 17% year-over-year growth that we expect for this fiscal year and achieve minus profitability. So all signs are pointing towards healthy business is growing.
Kingsley Crane: Thanks for the great context. Congrats on the continued success.
Operator: Our next question will come from Shrenik Kothari with Baird.
Shrenik Kothari: Hey, this is Shrenik standing in for Rob today. So you mentioned about the multi-year seven figure deal with CDK which is an existing customer in the investor letter and the paid business account is greater than 100,000 also accelerating pretty well. So when you look at the outperformance relative to your target of 80% in the consumption model by year end, that would suggest some competitive strength here. So can you talk a little bit about transfer competent events both like greenfield as well as win backs?
Bill Staples: Excellent question. We do see the bulk of our opportunity as Greenfield. Although lately tools consolidation plays have started to become more prominent. And you mentioned the CDK example that's in the investor letter. By the way, I recommend all investors read that got tons of great data and stories to familiarize yourself with. But it's no doubt that our competitive position and strengthening that's demonstrated not only in competitive win rates and also improving churn. But also in tool consolidation deals like the CDK example. For those who haven't had a chance to read the investor letter, I'll highlight it really quick. The CDK is an existing customer in the automotive space. They've been a customer for a while and when they saw the full value of our platform, they increased their commitment to us significantly. We just closed a multi-year seven figure deal with them. And their strategy is to partner with us to consolidate all of the dozen different tools from other vendors as well as open source to standardize on the New Relic One platform. And that helps them achieve their goals of really owning the customer experience they want to deliver driving their business outcomes increasing their employee productivity and operational efficiency and together with us drive their business forward. This is a great example of just one customer, but what we believe all customers ultimately want, which is a standard practice around observability, and a platform that gives them all in one access to everything in their digital state.
Shrenik Kothari: Thanks. Just one follow up here. You mentioned about the sequentially flat guide related to some seasonality and renewal kind of dynamics. And you mentioned about the conservative approach to modeling a consumption in excess of commitments. So as some more data points are coming in, just wanted to get your sense about the degree of conservatism now, like is it trending lower, or same levels? Thank you.
Bill Staples: Yes, it's a good question. We strive to be as accurate as we can with our guides. But we also, don't want to get ahead of ourselves. And we want to make sure that we can meet or exceed the expectations that we set each quarter. So you mentioned that seasonality that I brought up earlier. It's an interesting trend we saw right at the very end of Q3. Q3 as we closed out the holiday season, it was a very strong quarter for data growth as you can see in the overall numbers of the last two weeks of December, we saw a pretty significant decrease in data ingest and user engagement as well with some hangover effect into January. And if you think about it, it totally makes sense. And speaks to the strength actually, and then value proposition for our customers, because in the consumption model, they pay for what they use. And if they don't need it, they don't have to pay for it. And those last two weeks of December, you might think, would be strong. But actually, by the time the holiday seasons gets into swing with that week of Christmas and New Year, a lot of digital business slows down employees are on holiday not engaging in work, unless it's absolutely critical. And we think that's reflected in some of the seasonality that we saw. We saw a little bit of it last year, even more now that we've got 80% of the business in the consumption model. And that's part of what we're seeing in terms of the overall seasonality trends, but relatively minor impact to the overall financials.
Operator: Our next question will come from Sterling Auty with JPMorgan.
Sterling Auty: Yes, thanks. Hi, guys. So I'm just going to ask one question, I just want to go back to the comments about the guide, as well as the comments in the letter talking about renewals coming in higher and getting a better balance between those higher renewals and the overconsumption. And specifically, I think there's confusion, at least I'm confused about what does that mean for revenue growth, especially when you look at it quarter-to-quarter? So as that balance kind of comes in? Does that mean you grow faster? You grow slower? What's the implications on it?
Bill Staples: Yes, good question. And let me remind everyone, revenue for us. The revenue report is made up of two components. First, the commitment the customers make us in terms of their annual or multi-year commitment, and then the consumption over the commitment that we report on top of that commitment each quarter. As you noted, we saw a considerable uptick in both in Q3. On the commitment side, if you think back to last year, we introduced a brand new platform, brand new pricing model and this new consumption business model to market customers, even those who've been with us for a while, didn't know how that would work, how that would play out how they might use the whole platform. And so they were relatively conservative in their commitments. And we reported on some of that conservatism throughout the year. This year with Q3, we had our first relatively large renewal quarter of customers who had begun the migration last Q3. And what we saw with this increase commitments is a lot more understanding of the platform and how it works and how they're going to consume it, especially for those who were consuming at or above their previous commitment level, increasing their commitments in a considerable way. On top of that, consumption also continues to increase. We think about the opportunity with driving consumption, we reflect on the overall opportunity in this space. observability is a new and emerging practice. We believe most teams are just getting started with their use of telemetry data to help them make more data driven decisions. We see that reflected in the user, the user base of observability versus the total engineering population. And so with our improving ability to nurture consumption of the product and in the go-to-market organization, we expect to see consumption continue to increase as companies embrace more data driven approaches to engineering. So the short answer is our ability to drive increased commitments is improving and we believe consumption will continue to increase.
Operator: Our next question will come from Adam Tindle with Raymond James.
Adam Tindle: Okay, thanks. Good afternoon, I wanted to start on the fiscal '23 profitability metric where you're expecting to reach modest profitability on a non-GAAP operating basis Mark. If I zoom in near-term, this quarter did have sequential revenue growth, but the operating loss worsened sequentially. If I look at your Q4 guidance, it kind of implies more of that same trend. So I guess the question would be what changes in fiscal '23 to enable incremental growth to come over more profitably, and maybe you could double click on commission expense or data center costs, some of the key buckets? Thanks.
Mark Sachleben: I think the big improvement is going to come from our COGS improvement. As we talked about, we need some -- we've seen stronger data growth than we had forecast. And that's a good thing in the long term, right? Customers are taking advantage of the platform. And we made some other incremental customer side investments. So gross margin definitely had some pressure on it this quarter and will be continued to next quarter as we continue to migration to the cloud, finish up or not finish up but continue those investments. And so we've given some guidance around gross margin. We feel like it is bottoming out this quarter, up into the low 70s next quarter, and then improving from there into next year. So I think a large part of our improvement and the bottom-line will come from the gross margin line that'll slow down. When you look at operating expenses, we still have work to do there, no doubt we will continue to strive for more efficiencies and Bill talked about that in his summary of our '23 plans. But even before that, when you look at the past couple quarters, we have this quarter, we laid out in the investor letter encourage folks to take a look that. We have this commission expense that is a hangover from a model transition where we're amortizing commissions that that we incurred in prior years. And if you pro forma out the $8 million that we took in Q3, our sales and marketing expense actually went down year-over-year. And our sales and marketing expenses down and yet we were able to re accelerate revenue. And we're also to turn around the customer count where we had our best customer add quarter and quite a number of quarters in Q3. So I think we've demonstrated that, this focus on operational efficiency and improvements can have an impact where we've been -- we've had some success there already. We want to continue that on the expense line. Now we want to turn -- make sure we turn that discipline to the COGS line and between the two, we feel confident we'll be able to achieve modest profitability and then build from there.
Adam Tindle: Okay. And on the other side of the goal on accelerating growth. I think if I did the math, right, it needs to be north of 10 million incremental quarterly revenue to get this acceleration, which is above the run rate that you've been posting here more recently. And I guess the question would really be what you saw on the business to go out with that metric now at this point. And as I kind of think about the key drivers from a new accounts perspective to drive incremental growth. I think you noted in the letter that conversion efficiency did see some modest declines this quarter, so what would help improve new account conversion to drive incremental growth? And on the expansion point, the other kind of driver, I think about for incremental improvement and growth, you've got to read, most of the customers move over to the consumption model, what are the kind of key things that you can do to drive additional consumption over and above the run rates that you've been seeing? Thank you.
Mark Sachleben: Yes. Most of our incremental revenue gains in a quarter come from our existing customers. We're very pleased with our new account performance. We want to continue to build on that. And the new accounts that we've added, the last couple quarters are certainly going to help us grow next year and beyond. But given that we start most new accounts at a relatively low dollar amount, the vast majority of our growth comes from our existing accounts. And ultimately, what drives our revenue growth is a combination of upticks and commitments and then consumption over commit. And really, fundamentally, consumption growth translates to revenue growth over -- when you look over, a three or four quarter period of time. And what we see, we now have a number of quarters by which we can look at the behavior of our customers and how their consumption is changing. And we're looking at those patterns, how their consumption is growing. And that really lays the foundation for the confidence with which we can talk about next year. So that's kind of behind the numbers. There are a lot of things we can do. And Bill could probably talk a lot more luckily, I can about that all the different initiatives, we have to grow consumption in our accounts. And I'll let him do that in a minute. But I would also say that, at this point, when we first transitioned into the model, customers moved over. And it was a little bit of a leap of faith about how much am I going to use? What am I going to do, they didn't have a lot of historical data with which to do their analysis? At this point, they've got a year history on the model, they understand the value and they can make, I think they're more comfortable with their estimates and forecasts and commitments as they go forward.
Operator: Our next question will come from Sanjit Singh with Morgan Stanley.
Sanjit Singh: Thank you for taking the question and congrats on the accelerating revenue growth in the past couple of quarters. My questions will strikes along the lines of the similar things that we've been talking about on this call, really wanted to focus on also the cohorts again, if you looked at the December cohort that came up for renewal, can you sort of give us any additional color on sort of the magnitude of expansion that you saw, relative to their prior contracts, or maybe even price relative to their run rate heading into the December quarter. And then, as we look into the March quarter, that core coming up for renewal big Q4, what are sort of the underlying assumptions you have about that cohort when they come up for renewal in 90 days?
Bill Staples: Yes, I'll take the first crack at that and Mark can add any color as you see fit. Each quarter, we have a set of customers obviously coming up to their annual renewal. Most of our customers are under an annual contract. And we've been watching their consumption over the past year since they entered the new model. And as we've shared their consumption, in aggregate, continues to accelerate continues to exceed their original commitment. And as I said before, Q3 was the first quarter where we came up in the first annual renewal in that consumption model. And we were pleased to see their commitments increase, relatively proportionate to their overconsumption. So those who were consuming at or above, were much more likely to increase their commitment at or above what their consumption rate was. And that's what we had hoped to see. And in fact, what we thought in Q3 and we'll get another look at this in Q4, our biggest quarter in terms of cohort of customers that entered into the new consumption model. And we anticipate, we'll continue to have success in getting that new, increased commitment given the familiarity with the model that customers now have a year into the business.
Sanjit Singh: That's super helpful. And just as a follow up, in terms of thinking about, I guess, two factors, how seasonality is going to trend this quarter or this year. And then also variable consideration, which is a theme from last quarter's earnings call. How do you feel about the ability to forecast that are comfortable about that as a quote, when it comes to guiding for a fourth quarter along those two dimensions and taking account seasonality and variable considerations?
Mark Sachleben: On the seasonality front, we're still certainly learning as we go through this and we'll get every quarter, every year we get better data on that. But we think seasonality itself will be fairly modest, with a large cohort of customers, when some are driving consumption hard, others may be beyond the offseason, things like that. So I think the macro seasonality will be fairly modest. At the same time quarter-to-quarter, a couple million dollars could go from one quarter or another depending on consumption trends and things like that. And so I don't think we're looking at growth being completely linear, there will be some fluctuations in that. In terms of VC, I guess I just want to take a step back and level set on variable consideration. It's a complicated accounting topic. But in very simple terms, I would urge you to think of VC as the method by which we bring consumption in excess of commitment on the income statement, approximately as it happens, rather than as a lumpsum after the customers exceeded their commitment. To do this, it's a complicated process, each month, we have to evaluate every customer and forecasts what we expect their consumption to be over the term of their contract. We've been honing our forecasting models now for a number of quarters. At this point, we feel like our models are in good shape and we don't expect significant fluctuations going forward due to model changes. This means that our growth and revenue should fit more closely approximate growth in consumption. And when we look at more than multi quarter trends, as you mentioned in actual consumption, we're pleased with the progress we've made. And that's what gives us the confidence as we talk about the growth in '23 and beyond.
Operator: Our next question will come from Rishi Jaluria with RBC Capital Markets.
Rishi Jaluria: Wonderful. Thanks so much for taking my questions. And nice to see continued acceleration on the growth side. Two questions from me, firstly, one of the drill down on NRR, nice to see the continued improvement and looking reading between the lines of shareholder letter that number should continue to improve. How should we be thinking about NRR going forward? And as you think about your target of getting back to market growth rates of 25% and above, what is your kind of targets for NRR? Where should we see that as you continue to execute better [indiscernible]?
Mark Sachleben: Yes. So as you know, NRR is a backward looking metric. And so it generally lags revenue by couple quarters in the latest 12-month number to the end. So, we talked about there, as our revenue growth bottomed down and started accelerate, we said, NRR, we expect would be inflecting, couple quarters later, and we're starting to see that. And so I think that number will generally trail and follow the trail revenue growth as we go forward. When you think of our overall top-line growth, it's driven by existing customer expansion and new customers. And earlier I mentioned, we mentioned a couple times that the contribution we get from new customers is relatively modest, because most of our new customers come in at low dollar numbers. So the first $5,000 we get from a customer is new, the next million plus is the whole expansion. And so most of how we grow is from expansion. So over time, I would think, that the NRR number would pretty closely follow the revenue number and but just trailing by a couple quarters.
Rishi Jaluria: Okay, got it. That's really helpful. And then maybe I wanted to think about the metric you shared with us, large customers that have started on pay as you go accounts. So you talked about 171 that are paying 25k and above and 15 that are 100k and above. Can you maybe talk about, especially as your customers have started under the new models that are effectively net new customers versus converted? Can you maybe talk about what's leading to that dramatic growth on those large customers under the new model? Is it just a function of more and more data ingest is a function of getting more out of the platform, consolidating other vendors onto New Relic? Any color you can provide there would be helpful? Thank you.
Bill Staples: Mark, I'll take this one. Yes, what we see with customers who come into New Relic through the self-service channel, is that they're looking for that all-in-one observability platform experience from the start. And they tend to consume more and more quickly, the breadth of capabilities in the platform versus, say, a traditional customer that came to New Relic a decade ago, or five years ago, really just for APM. And that accounts for the rapid growth we're seeing in expanding those customers from free tier to put in their credit card. And then as you mentioned, 172 in the last year that started out with free tier are now in excess of the 25k annual run rate, and 15 customers already above that 100k annual run rate. I'll also point you at our key operating metrics which show overall though our ability to nurture active customers above that 100k threshold is improving. I think in the press release in the investor letter as well, you can see the last two quarters alone, we've run more than 100 customers into that 100k above pool. So that's coming both from that self-service, new customer base, as well as our existing customer base expanding to 100k spend and above with 100 new customers in that pool just the last few quarters, which is a pretty significant increase versus previous quarters.
Operator: Our next question will come from Erik Suppiger with JMP Securities.
Erik Suppiger: Yes, thanks for taking my question. I apologize if you've said this, but what are you assuming for the non-cash commission expense for fiscal '23?
Mark Sachleben: We haven't guided beyond this year, we laid out in the investor letter the charge that we're getting that's amortizing from prior periods this year. And I think we got -- we put that in a letter through this Q4 fiscal '22. But we did not go beyond that. Generally speaking, though, that's an amortization of an expense that was incurred in the prior year. So you can estimate, I think you can take those numbers and probably get a pretty good estimate of how it's going to trail off over the next couple years.
Erik Suppiger: The letter says it was nine in Q2, 8 in q3, 7 in Q4, right, we assume that it comes down a million per quarter through fiscal '23, is that a reasonable assumption.
Mark Sachleben: Well, that's probably not bad. Although I think of it more as commissioned expenses on an annual basis. We historically enrolled model amortized commissions over three years. And so, this year, you've got to amortize about a third of it each year.
Erik Suppiger: Okay. I was just looking at the deferred revenue and RPO. The deferred revenue had pretty good growth, but the RPO had slower growth than the deferred, I would have thought RPO would have good growth given that you've got customers that are taking up their commitments, any reason why the RPO didn't grow, at least consistently with the deferred revenue?
Mark Sachleben: The biggest change there I think is, those two generally go in sync but RPO accounts for multi-year deals. And at this point, we're looking at annual contracts with the vast majority of our customers. We've got some longer term but I would say most of our customers look at a one year commitment, time horizon, with the consumption model.
Erik Suppiger: Did you have customers shifting to one year in light of the consumption model?
Mark Sachleben: We have seen some of that. And we look at that as customer friendly. And frankly, from our standpoint, assuming we can grow consumption, we're better off with a shorter term. The thing about three year commitments is you generally have to give up a fair amount to get them. And so they maybe a good deal in year one, but by year three assuming customers getting a lot of value, they could actually be getting incredible deal. And so we're in the business of continuously providing value. And assuming we can do that and our customers can recognize that then I think short-term, one year commitment is actually -- could be better for us in the long-term.
Operator: Our next question will come from Derrick Wood with Cowen and Company.
Derrick Wood: Great, thanks for taking my question. Yes, I guess sorry to belabor the point, but what I wanted to go back on the variables of Q3 revenue, because I think people are just trying to understand the outperformance not being as strong as the last few quarters, knowing that Q2 was certainly an anomaly. But the way I'm hearing it is that that there could be kind of three variables that have some impact on near term revenue, one would be the catch up in [Redrack] [ph] really kind of coming to an end from those early cohorts. Two, would be the higher commits on renewals, resulting in less overage. And three is just the kind of more seasonality and consumption around the holiday periods. I mean, are those the right variables to be thinking of? And how would you rank those in the quarter?
Mark Sachleben: I think those are the three variables. In terms of ranking them, tough to say, they all contributed some amount. But we don't have an explicit breakout of each one. So I just -- I can't give you firm guidance on that was this percent or et cetera.
Derrick Wood: Yes. Okay. Well, glad I'm thinking about it, right. Bill, and for you a question on the focus on new enterprise customers, I mean, clearly you guys have been focused on shifting the installed base to the new platform. You built this new low touch customer acquisition funnel at the lower end of the market. But how are you thinking about the sales focus on new enterprise customers? Can this be done through the low touch channel? Or would you be looking to invest more in high touch sales especially as you look into fiscal '23?
Bill Staples: Yes, good question. Continuing to grow new accounts is obviously strategic to our long-term business. And I think about three real channels that we are investing to do that in refer those to head, as is evidenced by the numbers with our self-service product lead funnel that we launched last year. As we look forward to FY '23, there's sort of two increasing investments we're making in addition to that, which is first in terms of partners of the channel, we want to start to build out more capability there more efficiency there. And so that will factor into our FY '23 plan. And then second, is portion of our sales go-to-market, who can also help accelerate new account acquisition and think of that more as inside sales components, as well as our existing sellers, with some of their time and capacity landing new logos.
Operator: Our next question will come from [indiscernible] with Needham & Company
Unknown Analyst: Hey, thanks, guys. Just wanted to come back to the seasonality. I know that we're talking about this slowdown that you saw in the final two weeks or a couple of weeks in Q3, and this hangover effect we're talking to in Q4, could you help us think about how this hangover effect for seasonality has played out now that we have six weeks under our belt in the quarter? I'm just curious how what you're seeing on the consumption front as it relates to the seasonality we're talking about?
Bill Staples: You bet. I'll do my best to describe it. The data ingest side, we saw a pretty significant drop off those last two weeks of December, as I mentioned and then steady rebounding since then. Similar with user engagement less pronounced in terms of the downward trend of provisioned users, but slowly, again, rebounding throughout the month. We did see a little bit of that last year. So it wasn't a complete surprise this year, although the difference between say 30% of our business in the consumption model last year versus 80%. And you think about from the customer perspective, more customers now, taking advantage of that consumption pricing model to optimize their spend, did have some effect. And we see that as an overall value proposition of the consumption model and works in the customers benefit and our long-term strategic benefit in terms of differentiation of value to customers.
Unknown Analyst: Thanks for that. And just two quick questions, if I could to clean up and then I'll leave you guys. But the first real quick on the churn for those pay as you go accounts, I think typically, you guys had been disclosing the churn for those accounts was in the 1% to 2% zip code. Maybe I missed that in the letter, but can you provide an update on the churn for those pay as you go accounts. And then the second thing, more broad strokes here, but just wanted to see if I could get a better framework for the growth algorithm to you guys driving that 25%, top-line growth you're looking at? Is it fair to assume that we're in this maybe 18% to 20%, year-to-year growth, maybe 21%, with the accounts that you currently have. And then as these newer accounts, you guys layered in over the course of this year grow and become more sizable? That's really what's going to be driving you up towards that 25% market growth target that you guys have out there? Is that a fair way to think about it?
Bill Staples: Yes, the way -- I think, as we said before, most of our revenue does come from our existing customer base. And while it's really critical to our long-term growth to win new customers, many enter in the very low end of the spectrum, even the free tier paying, it's nothing, and then they had a credit card and mature from there. So when we talk about expansion and reaching that 25% year-over-year growth rate, it is really based on mostly customers who have embraced the platform, upwards of a year or so that contributes the majority of revenue and revenue acceleration. And that's again, based on this all in one model. Previously, customers would have to buy individual applications or components. Now, every user they had has full access to the platform and can add any of the data types from any data source. And that driving that horizontal expansion within an account is now friction free, thanks to the all-in-one pricing model, the platform experienced that we've built around it. And the way we think about driving that growth is literally having all of our product teams and go-to-market teams, really thinking about how to help customers expand horizontally, and take advantage of the breadth of the platform versus maybe the one or two experiences that they're familiar with from past days.
Unknown Analyst: Great, thanks. And any confirmation on the page –
Bill Staples: Thank you, yes, that makes [inaudible], the churn on the pay go has not changed. It's still in the 1% to 2% range, as we reported before and continues to be a strong channel for new customer acquisition.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bill Staples, Chief Executive Officer for any closing remarks.
Bill Staples: Hey, thank you, everyone, for joining the call today and for all your questions. We hope you take some time to read the investor letter to familiarize yourself with more details and trends of the business and we look forward to engaging you with you throughout the quarter. And seeing you at our investor conference coming later this spring. Thanks, everybody. Have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.